Operator: Good afternoon. My name is Annie and I will be your conference operator today. At this time, I would like to welcome everyone to the Carlisle Companies' Fourth Quarter 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, we will conduct a question-and-answer session. I would like to turn the call over to Mr. Jim Giannakouros, Carlisle’s Vice President of Investor Relations. Jim, go ahead.
Jim Giannakouros: Thank you, Annie. Good afternoon, everyone, and welcome to Carlisle’s fourth quarter 2020 earnings conference call. We released our fourth quarter financial results after the market closed today. And you can find both our press release and earnings call slide presentation on our website at www.carlisle.com in the Investor Relations section. On the call with me today are Chris Koch, Chairman, President, and Chief Executive Officer; and Bob Roche, our Chief Financial Officer. Today’s call will begin with Chris discussing business trends experienced during the fourth quarter of 2020, views of what's to come in 2021, and context around our continued confidence in achieving Vision 2025. Bob will discuss Carlisle’s fourth quarter performance and current financial position. Following Chris and Bob’s remarks, we will open up the line for questions. Before we begin, please refer to slide two of our presentation, where we note that comments made on this call may include forward-looking based on current expectations that involve risks and uncertainty which would cause actual results to be materially different. A discussion of some of these risks and uncertainties are provided in our press release and in our SEC filings on Forms 10-K and 10-Q. Those considering investing in Carlisle should read these statements carefully and review reports we file with the SEC before making an investment decision. With that, I will turn over the call to Chris.
Chris Koch: Thanks Jim. Good afternoon, everyone. Entering what is now the second year of operating in this COVID-19 pandemic, I hope everyone is healthy and staying safe. Like to open by saying how proud I am of the global Carlisle team for their perseverance and ability to execute in these uncertain times. Our COVID statistics reflect the strong compliance to the CDC guidelines and safety measures all Carlisle employees have followed in 2020. We suffered 470 infections, 15 hospitalizations, and sadly three deaths. We continue to do our part to combat the spread of the virus. In combination with further progress on the vaccination rollout, we anticipate that we will continue to show our safety measures are working because at Carlisle, maintaining health and safety is always our first priority. Vision 2025 provided clear direction and consistency of mission during a tumultuous 2020 and will continue to guide our efforts as we accelerate into the recovery. As we pass the mid-year mark and entered the third quarter, we continue to build on the momentum started in late Q2 when our employees, customers, and supply chain partners increasingly were able to work safely and efficiently and begin to get back to contributing to economic growth. As the global community returned to work, strong underlying deferred demand became more evident, especially in our building products business. While we expect this momentum to continue as vaccines help decrease risks, the construction industry is still contending with uneven regional disruptions due to COVID restrictions, severe weather in certain areas, and tight labor dynamics, which is resulting in deferred demand continuing to build the backlog of work. Turning to slide four, 2020 demonstrated yet again the exceptional and sustainable earnings power of the Carlisle business model. Over the past several decades, Carlisle has been categorized as a diversified industrial company and rightly so, as evidenced by our portfolio contact -- our content, multiple acquisitions in a variety of segments ranging from fluid handling to medical technologies, and our legacy strategic goals. However, since CCM introduced the first Single-Ply EPDM Roofing membranes to the market in the early 1960s, Carlisle's growth and earnings have increasingly been powered by our construction materials business. With over a half century of outstanding performance, CCM's influence on our overall performance has consistently expanded despite our diversification efforts, peaking in 2021 when it accounted for over 70% of revenues and over 90% of earnings. In the past three years, CCM has accelerated their world-class performance leveraging consistent organic growth focused on providing the ultimate customer service, the Carlisle Experience and instituting greater price discipline, developing sophisticated sourcing and purchasing capabilities, and maintaining a continuous improvement culture, all aiming to drive increased profitability and shareholder value. In 2017, when we first contemplate a Vision 2025, we turned a critical eye to our capital deployment efforts and started a pivot to a more disciplined ROI focus. It was that critical assessment and objective view of value creation that drove our focus under Vision 2025 to apply a greater investment spotlight onto CCM. A consistent 30% plus returns business CCM's performance warranted and earned the right to share the majority of investment dollars that were allocated to portfolio diversification, at that time, a key strategy of Carlisle's legacy approach to building out higher growth and presumably higher margin platforms as a path to sustainable value creation. With the official rollout of Vision 2025 in February of 2018, our evolution was actualized evidenced by our recent extensive M&A capital investments at CCM. As shown on slide five, CCM has continued to evolve from its roots in the early 1960s of a simple Single-Ply Roofing membrane division to today, where we deliver innovative, easy to install and energy-efficient solutions throughout -- through the Carlisle experience for customers who are creating the sustainable building of the future. With our extensive line of building envelope product, CCM offers a complete set of solutions and systems to aid in the design of efficient building envelope construction projects, backed by industry leading warranties and a focus on green principles. On slide six, you can see how this building envelope concept can deliver substantial energy savings for building owners. CCM products provide a substantial offset to the estimated 40% of greenhouse gases globally generated from the construction and maintenance of buildings. And our teams are focused on continuing to support the growing efforts in global energy efficiency It's because of this history of innovation, investment, and continuous improvement that we have more conviction than ever the CCM's future success is secure. We believe the extensive planning of Vision 2025 identified the strengths of CCM's core markets, demonstrated the consistent reroofing revenue stream, and elevated the power of CCM sustainable business model. 2020 only serve to crystallize our confidence. Turning to slide seven, I'd like to spend a few minutes talking in more detail about CCM's future and what drives our confidence in the CCM business model. First, as you've heard us speak about it like CCM's core business is predominantly driven by replacement roofing demand. Non-residential buildings built 10 to 20 years ago make up over 25% of current infrastructure and those roofs will need replacing in the next decade. As a reminder, roof replacements are not discretionary. Aided by the Carlisle experience and our market position, CCM should continue to capture placement of installed roofing systems and grow share with new energy efficient, labor reducing, and cost effective productive solutions in the $6 billion and growing market. While the majority of our core CCM business revenue comes from reroofing. Past construction cycles evidence residential construction as a strong leading indicator of new commercial construction, which augments core CCM growth. Growing residential construction demand which accelerated in 2020 coinciding with urban relocation due to COVID, will require increased commercial infrastructure including big box retailers, hospitals, warehouses, and educational buildings to support a growing population of suburban families and workers. Second, as shown in slide eight, the recent addition of our polyurethane platform to CCM included spray foam insulation, which is a sustainable high single-digit growth market. Our top performing formulations provide unmatched energy efficiency in both residential and non-residential applications. Driven by our industry-first concept of a combined material and equipment solution, which we call IntelliSpray, it was developed and introduced with engineering support from Carlisle fluid technologies. Carlisle CCM is uniquely positioned to grow at above market levels in spray polyurethane foam insulation. This innovative new system will allow us to provide the contractor, builder, and homeowner with greater application efficiency and control, savings from application efficiency improvements, and ultimately, a better foam insulation product. Third, like polyurethane, architectural metals is an exciting new platform for CCM. This billion dollar market growing at approximately two times GDP provides an attractive opportunity to diversify into the sloped roof market with a highly sustainable product. Our metals platform is seeing healthy organic growth, as it offers a lasting high ROI system solution to building owners, generating solid pull-through sales of CCM insulation and underlayment products. To support our regional growth strategy, we're expanding our metals footprint in 2021 by opening three new locations in the U.S. Metal roofing systems also complement our drive to deliver solutions to support the construction of an efficient building envelope. Metal roofs are 100% recyclable, increase energy efficiency of building up to 20% versus traditional materials, and reduce waste in the manufacturing process. Fourth, we're committed to accelerating growth in Europe, a $10 billion -- €10 billion addressable market. To drive this growth, we recently changed leadership in the region and announced the investment of over $25 million to expand capacity in our German manufacturing facility. Increasing demand and regulations for improved thermal performance along with integrated roofing systems are driving a shift to single-ply membranes in Europe. CCM's leading environmental and energy efficient solutions lend themselves well to trends in the European market. Recent industry dynamics reinforce our belief that increasing our focus on our building products platform is the right strategy. The new ownership of a recently acquired competitor and an announced management edition at another competitor shows the widespread belief of the strong prospects for the non-residential building products space. The industry dynamics also support our strategy to accelerate growth in Europe. And finally, as was widely discussed after the recent acquisition, our increased focus on delivering the Carlisle experience for the sustainable building of the future is in line with macro industry trends. Before moving to our three other businesses, I want to reiterate how remarkable our CCM business performed in 2020. CCM was largely the story for Carlisle in 2020 and we expect that to continue into 2021 and beyond. Regarding our other three businesses on slide nine, 2020 was obviously a difficult years due to the pandemic. In the face of significant declines, the teams did a commendable job managing through the crisis, taking actions to reduce costs, and position their businesses for the future including leveraging COS, investing in new product development, and right-sizing footprints. While the results did not meet our expectations, these remain good -- very good businesses with solid management teams committed to weathering the current macroeconomic challenges. We are optimistic that the actions taken in 2020 to improve CIT, CFT, and CBF will position these businesses for a solid recovery, especially in 2021 for CFT and CBF where markets have signaled the bottom. And while we believe CIT will recover over a longer timeline, we are confident that there will be a recovery. With higher inoculation rates for rapid vaccine rollouts, easing of COVID travel restrictions, and an improved outlook for both aerospace and hospital capital spending, CIT will drive exceptional leverage with a resumption of growth. Before Bob gives the financial details of the quarter, I'd like to touch on a few other notable achievements of 2020. Please turn to slide 10. We've generated $2.5 billion of free cash flow over the last six years and recently accelerating significantly, with almost half that was generated in 2019 and 2020. This track record of success supports our confidence in this team's ability to execute on our capital allocation strategy and to create value. While 2020 was a subdued year for M&A, we are managing an active pipeline for accretive and synergistic acquisitions to rapidly scale our high returning businesses. As always, our financial strength and cash flow generating capabilities afford us flexibility and we intend to remain opportunistic. Notably, and as we've discussed in the past, when acquisition activity is subdued, we remain committed to returning capital to shareholders. This is evidenced by our deployment of more than $380 million in share repurchases in 2020, totaling approximately $1.5 billion in share repurchases since 2017. And at our latest Board meeting, our Board approved an incremental 5 million share repurchase authorization for Carlisle. We also returned over $112 million to shareholders in the form of dividends in 2020, raising our dividend in August for the 44th consecutive year. Finally, we spent $96 million of CapEx in 2020 and have plans to significantly increase that in 2021. On slide 11, we touch on our continued unexpanded actions around ESG where Carlisle remains steadfast in our commitment. Supported by CLS, we are continually examining ways to improve the design and manufacture of our products, seeking to better engage our employees and communities, and improve an already strong regulatory framework. In 2020, we also made progress in diversity and inclusion exiting 2020 with 50% of our Board of Director's identifying as gender, racially, or ethnically diverse, and meeting our 2020 target for percent of females and senior leadership positions. As we've stated many times before, ESG is part of Carlisle's culture of continuous improvement and we look forward to sharing more progress with you in the future. I would also encourage you to read more about Carlisle's ESG efforts on the sustainability pages of our website. Please turn to slide 12, where we cover the Carlisle operating system. In 2020, CLS delivered savings of 1.3% of sales, while within our vision 2025 annual target of 1% to 2%, a remarkable feat considering 2020's challenging conditions and proving the Carlisle employees truly embody and live our continuous improvement culture every day. Another major milestone in 2020 was the launch of the Path to Zero, which represents our commitment to creating the safest possible work environment, and features the goal of zero accidents and zero injuries. COS will continue to be a unifying cultural imperative for our businesses to rely on as they seek new opportunities to make our operations and business processes more efficient. Bob will now provide operational and financial details about our fourth quarter and review our balance sheet and cash flow. Bob?
Bob Roche: Thank you, Chris. Please turn to the revenue bridge on slide 13 of the presentation. Revenue decreased 7% to $1.1 billion in the fourth quarter, organic revenue declined 9%, acquisitions contributed 1.4% of sales growth for the quarter, and FX was a 60 basis point tailwind. Turning to our margin bridge on slide 14. Q4 operating margin declined 180 basis points. Pricing and volume headwinds combined for 320 basis point declined and acquisitions were 40 basis point tailwind. Offsetting these declines freight, labor, raw material, other operating costs netted to a 60 basis point improvement. COS benefits added 120 basis points. On slide 15, we have provided an EPS bridge, where you can see the fourth quarter diluted EPS from continuing operations was $1.57, which compares to $1.81 last year. Volume, price, and mix combined were a 74% year-over-year decrease, partially offsetting, interest and tax contributed $0.09 and raw material, freight, and labor costs netted to a $0.16 benefit. Share repurchases contributed nine $0.09. OLS contributed $0.19, and finally, operating expenses were $0.03 headwind. While COVID-related volume declines clearly represented the most significant headwind during the quarter, our teams around the world did a commendable job managing costs, leveraging COS to improve efficiencies, and taking actions to both position Carlisle for the recovery while mitigating the pandemic impact on earnings. Now, let's turn to slide 16 to review the fourth quarter performance by segment in more detail. At CCM, the team again delivered outstanding results with revenues increasing 1%, driven by volume and 30 basis point of foreign currency translation tailwind. CCM continued to exhibit its resilience with solid U.S. commercial roofing performance, despite the continued COVID-related restrictions in some areas, restraining the recovery. Our newer platforms of architectural metals and polyurethanes were solid contributors to the quarter's revenue performance. Operating margin at CCM was a record 20.4% for the fourth quarter, a 350 basis improvement over last year driven by CCM team's superb cost management and COS, partially offset by wage inflation. CCM executed well in delivering approximately $15 million of net price cost realization in the quarter. Please now turn slide 17 to review CIT's results. CIT's revenue declined 35.4% in the fourth quarter. As well publicized, this decline was driven by the crisis in commercial aerospace markets. While a recovery in aerospace could be prolonged, we are confident that there will be a resumption of growth with the continued rollout of the COVID vaccine and airlines returning to profitability. And other positive recent news the 737MAX-8 has been cleared for return to flight in the U.S., Europe, and South America, while TSA passenger daily checkpoint data continues to improve. In our medical platform, sales continue to be impacted by COVID-related delays in hospital CapEx and postponed elective surgeries. However, our project pipeline is robust and long-term trends remain attractive, including increasing preference for minimally invasive surgeries and OEM strategies consolidate supply chain partners. CIT's operating margin declined significantly year-over-year to a negative 8.6% driven by commercial aerospace, volume declines and accelerated restructuring actions. These declines were partially offset by savings from COS; lower SG&A, and price increases. While the actions taken by CIT in 2020 to right-size our footprint, reduce our workforce were difficult, we are positioned to deliver improved operating income performance when the volumes returned. Turning now to slide 18, CFT sales declined 8.3% year-over-year, organic revenue declined 16.1%, and additionally, acquisitions added 5% in the quarter FX contributed 280 basis points. Stabilization in key end markets driven by an improved industrial capital spending outlook in 2021, coupled with recent management additions, new product introductions, pricing resolve, and CFT's efforts to upgrade the customer experience and position CFT well as we enter 2021. Operating income of 4.5% was an 820 basis point decline year-on-year. This decline was driven by lower volumes, restructuring in raw material costs, partially offset by price and efficiencies from COS and lower SG&A. Turning the CBF on slide 19. CBF's fourth quarter organic revenue grew 2.8% and FX had a positive 2.6% impact, driving CBF growth of 5.4% in the quarter. Demand for agriculture and construction equipment were the primary drivers, while orders in region improved throughout the second half of 2020. Operating income was $8 million or 1.1% operating margin, flat to the fourth quarter of 2019, driven primarily by unfavorable mix in aerospace markets, wage inflation, offset by COS efficiencies, increased volumes, and tight cost controls. On slides 20 and 21, we show selected balance sheet metrics. Our balance sheet remains strong. We ended the quarter with $902 million of cash on hand and $1 billion of availability under our revolving credit line. We continue to approach capital deployment in a balanced and disciplined manner, investing organic growth through CapEx and opportunistically repurchasing shares, while also actively seeking strategic and synergistic acquisitions. Free cash flow for 2020 was an exceptional $601 million consistent with 2019 results on lower sales volumes. Turning to slide 22, you can see the outlook for 2021 on items affecting comparability and corporate items. Corporate expense is expected to be approximately $105 million for the year. We expect depreciation and amortization expense to be approximately $225 million. For the full year, we will continue to invest in our businesses and now expect capital expenditures of $100 million to $175 million. Net interest expense is approximately -- is expected to be approximately $75 million for the year and we expect our tax rate to be approximately 25%. And with that, I'll turn the call back over to Chris.
Chris Koch: Thanks Bob. In closing, I want to once again express my thanks to our dedicated employees, their families, our business partners, and all those associated with Carlisle's success. Without you, we could not have weathered and overcome the significant challenges of 2020. Entering 2021, we are cautiously optimistic about the outlook for Carlisle. We will continue to benefit from the strength of the Carlisle business model and enhance our strong earnings power by investing in our high returning businesses. We will continue to deploy capital into strategic acquisitions, share repurchases, and dividends, all the while maintaining our commitment to delivering returns on invested capital in excess of 15% and ultimately, driving $15 of earnings per share. While there are clearly many uncertainties around the pandemic, including the effectiveness of the rollout of the vaccines, we want to keep investors informed on our views of our businesses and markets. As such, we offer 2021 guidance based upon where we are today, while fully acknowledging that we are in uncertain and turbulent times. For full year 2021, we anticipate the following; CCM supported by reroofing project deferrals that occurred in 2020, positive momentum in our newer businesses of architectural metals, polyurethanes, expansion of our European businesses, and a decrease in complexity to complete jobs as COVID restrictions ease, we anticipate revenue growth of high single-digits in 2021. At CIT, we believe that rapid COVID inoculation will drive an improvement in business and leisure travel exiting 2021. Aircraft manufacturers are indicating production rates will rise towards the end of 2021. These trends are coupled with an improved order book for medical products and solutions as hospital capital, investments in elective surgeries resumed. That said we anticipate pressures remain near-term and given a different -- very difficult year-over-year comparison in the first quarter, we expect CIT revenue will decline in the mid to high single-digit range in full year 2021. With order book strengthening for both CFT and CBS and end market stabilizing, we anticipate low double-digit growth for both businesses. On behalf of the approximately 13,000 employees at Carlisle, thank you again for the trust you place in us. This concludes our formal comments. Annie, we're now ready for questions.
Operator: Thank you, sir. [Operator Instructions] We have a first question from the line of Bryan Blair from Oppenheimer. Your line is open. You may ask your question, please.
Bryan Blair: Thanks. Good afternoon, guys.
Chris Koch: Hi Bryan.
Bryan Blair: Chris, you briefly mentioned the major developments in the commercial roofing industry about a month ago with the large CCM competitor changing hands. Obviously, very early days here, but just wondering if you could share a little more color and how your team thinks about the high level implications of that deal? And balances -- thoughts on competitive risks and opportunities looking forward?
Chris Koch: I think, in general, we view the entrance of the European group into the market is being positive. I think, obviously, well run organization with solid margin expectations for their other businesses. And also, I think operating in a -- perhaps more ESG-focused environment in Europe, which should bring good things to the industry as a whole. So, I think, in general, it brings attention to the great business model we have here in CCM and in the industry, I think it brings attention to the good things that our products are doing and solutions are doing globally. And so I would say the team obviously, is highly competitive and will be highly competitive with any entrant. But I think it's a neutral at worst.
Bryan Blair: Okay. Makes sense. And sticking with CCM, how are volumes trending to start the year? I believe you still face a reasonably tough comp through February. Just curious about momentum ahead of the lower bar in March and honestly through the second and third quarters?
Chris Koch: Yes, I think as your -- you see how we came out of the fourth quarter. And obviously, it wasn't huge growth, but it was growth. And I think it was very consistent with what we felt about the model and kind of thought would happen and talked about as the year went on. So, obviously, things got better sequentially. Obviously, Q1 is a difficult comp. I would say that we just see the trends in Q4 continuing and it likely it'll be something to like you saw in Q4.
Bryan Blair: Got it. And investors are obviously focused on inflationary trends right now and particularly oil and gas based with you guys. We know there was pricing in 4Q and you put out a reasonably aggressive increase that I believe kicks in a little later this quarter. How confident are you in price sticking in this environment? And how should we think about the cadence of price cost impact for the year?
Chris Koch: From my perspective, it was very satisfying to see that the price increases that occurred were quickly embraced by a lot of parties and we also see widespread support and other construction related products for price increases. So, my belief is that we will see traction on price as you said becomes effective in full -- but later on especially as volumes rise, it becomes more impactful as we get further into the end of the year. And I think on the raw material side, our team obviously sees that there is some inflationary pressures. But we have done a lot, as I mentioned in the call on our sourcing approaching initiatives to set up what we think is a good situation for us vis-à-vis raw material increases. And so we think it'll be relatively neutral as we sit here today for the year with respect to price in raw materials. But again, its early days, and you know, the first quarter is sometimes no indicator of the future, as we saw last year when first quarter was good, and then COVID hit. Bob, you want to add anything to that?
Bob Roche: Yes, I think Brian, we've talked about this every year that pricing traction usually doesn't happen until we see volume starting to pick up in the second quarter. So we would expect, while Chris mentioned, we expect to be flat for the year, we expect a little pressure in the first half and then that recovering in the second half as prices get fully up to the speed with volumes pick up.
Bryan Blair: Understood. Thanks again.
Bob Roche: Yes. Thanks, Bryan.
Operator: Thank you, sir. We do have another question from the line of Tim Wojs from Baird. Your line is open. You may ask your question, please.
Tim Wojs: Hey. Hey, guys. Thanks. Nice job. Thanks for the good color that you guys provided in the slides, it’s very helpful. I guess on Europe in metal and polyurethane, is there a way just to kind of square up how big those businesses are today, and kind of maybe where the margins are maybe in aggregate, and if they can kind of get to parity with the overall single-ply business overtime?
Chris Koch: Yes. I’ll let Bob get an obviously Europe, polyurethanes and metals compared to our core roofing materials are smaller. The growth rates at least in polyurethanes and metals is higher, we would think with conversion in Europe, that Europe growth rates would be higher than our core growth rates as well. And then on margin, they have been as you are well aware, Tim both acquisitions, the margins weren't where we wanted them to be, we're making progress against that. But we ultimately think they can be in that range we've talked about for CCM and contribute positively. So Bob, do you want to add anything to that?
Bob Roche: Yes, Tim, I mean, we talked about this before with our your European business being in the $150 million range polyurethanes in the low 300s, and then architectural metals as when we bought them and put them together and then grew them since then a little over 250. And margins are approaching that combined on the 10% range as we get the more efficient; grow those businesses, put COS in focus on pricing, they improve every quarter. So we're positive on them. And again, as volumes accelerate, we expect the margins to increase rapidly.
Tim Wojs: Okay. Okay. That's helpful. And then on the medical business within CIT. Could you just kind of level set us there in terms of where you are in terms of growth and margins? Because I think that's a pretty sizable contributor to 2025 to get that business to a $1 billion in kind of 2020, 20% margin. So, just trying to think through where that business is today and kind of levers you need to pull to be able to reach those targets?
Chris Koch: Yes, I think, Tim, Bob's going want to jump in on this a little more detail. But I think you're absolutely right that medical is going to be a big contributor. We've talked about in the past; unfortunately, it didn't get there prior to the aerospace decline here with COVID. But medicals highly that MedTech segment has strong margins in excess of what we have expected for CIT core aerospace business. So it'll be definitely be a contributor. And I think we've got to continue to build out the new products work with the OEs, which we're doing, and in fact, COVID really set that back, I think we had -- last time we really discussed projects, I think we had 70 plus new projects with medical OEMs, that really when we were forced to do the deal with the work-from-home situation for a lot of them, it slowed things down. So, Bob do you want to get some more commentary on?
Bob Roche: Yes, Tim. I mean, overall, the business is give or take a little over $200 million, $225 million for 2020 the total medical business, including Providien and the core. The core medical business, before we did the acquisition, approaching mid-teens, so we're very happy once we get these things integrated, get them running well, put COS in that their valuable businesses, obviously, with Providien coming in the purchase accounting and everything going on, that's closer to breakeven. But we're very positive in the margins going forward, as volumes start picking up. And we're able to get the efficiencies that we contemplated as the deal model.
Tim Wojs: Okay. Okay. Great. And then just on the pace of growth with an Interconnect. You do have a pretty tough Q1 in terms of a comp. How would you think about that business kind of building through the year? What's I guess based -- kind of baked into the mid to high single-digit declines forecast?
Bob Roche: Yes. We'd expect the first quarter to be tough. I know, I think in the fourth quarter recall, and that probably is the bottom. We expect a $5 million decline from Q4 to Q1, and then growing from there a little bit of decline year-on-year in Q2, because remember Q2 was even a little bit strong for our CIT business overall with aerospace not fully being out yet. And then growing nicely in Q3 and Q4 back as build rates start up again.
Tim Wojs: Okay. Okay. Appreciate it. Have a good rest of the week, and good luck on the year guys.
Bob Roche: Hey, thanks Tim.
Operator: Thank you, sir. We do have another question from the line of Saree Boroditsky from Jefferies. Your line is open. You may answer your question.
Saree Boroditsky: Thanks. So building on the last question on CIT. Could you just aggregate what you saw on the aerospace side versus medical in the quarter and then within your outlook for 2021?
Chris Koch: So what are we seeing in aerospace?
Saree Boroditsky: Versus medical in the fourth quarter and then in your outlook?
Chris Koch: Yes, I mean, fourth quarter, we're down in aerospace over 50%.
Bob Roche: Yes.
Chris Koch: So it's continuing to be down. And then the difference made up is test and measurement in medical. So medical is still not overall growing great due to the CapEx in the hospitals, but aerospace is down significantly, as you know.
Bob Roche: It overwhelmed medical part is just so big aerospace.
Jim Giannakouros : Yes, Yes. So, yes, you have -- hey, this is Jim. Medical flattish in the quarter and other areas typically down. So, hopefully that helps you get there.
Saree Boroditsky: Okay. And then it looks like you're going to continue to have restructuring charges in that segment. Can you just talk about some of the costs tasks you’re taking and expected savings going forward?
Chris Koch: Yes. Those are largely carryover costs from this year from what we announced in Kent, Washington closure. Because as you know and we've talked about before the moving in aerospace facility takes a long time, we expect that not to be fully moved and shut until the second half of this year, and all those charges related to the Kent closure.
Saree Boroditsky: Okay. And then just for me, there's great color on your ESG positioning and the impact of roofing on energy savings in the slides, in your comments. I was just wondering, are you seeing any customers pull ahead reroofing projects in order to increase energy efficiency? And outside of Europe, are you seeing any government policies help spread that demand? Thank you.
Chris Koch: Yes, I think on the pulling forward, we've always said this, it's really difficult to pull anything forward in this environment with the tight labor that we've got in the United States here. So I wouldn't say anybody's pulled anything forward from an order perspective. Obviously, they can get things done quicker, they'll do that. I think, just in general, there's an overall movement that as we continue to evolve each year, we get new products and solutions out there immediately applied to those projects where they can be. So I think the speed with which people are putting in new innovation and helping is moving at a good pace. From the legislative perspective, I don't think there's any doubt that when we see a letter like we did from Larry Fink, and we see the actions like the California instructions on Board of Directors and female content, I think we know that there is definite concrete action it is occurring. We've been very pleased that we like to think in some ways, we've been at least on the curve with others and we want to hope to accelerate that. And so we appointed new Vice President of Sustainability this year. It's obviously a focus for our Board of Directors and for our management team. And as we've said all along, we don't do it in response to legislative mandates. Of course, we comply with them, but really, we want to get ahead of it because for Carlisle being more energy efficient in our plants facility saves money and benefits the shareholder with higher returns, and applying innovative products that help our customers use less and recycle and make their operations more energy efficient, is just good business for us. And certainly, diversity and inclusion we know benefits the entire workplace for better decision making and things like that. So while there is legislative movement, we think there's also just solid common sense movement from an economic perspective to do these things.
Saree Boroditsky: Appreciate the color. Thank you.
Chris Koch: You bet.
Operator: Thank you. We do have another question from the line of Adam Baumgarten from Credit Suisse. Your line is open. You may ask your question.
Adam Baumgarten: Hey, guys, good afternoon. Thanks for taking my question. Maybe to start out on CCM sales guidance, high single-digits, does that contemplate declines in new construction, as you guys lag that from last year?
Chris Koch: Yes, I mean, it's our best guess right now as to what's going to happen. When we talk about forecasting something like new construction declines for the year, I think obviously, we put that into the equation, we also put in things in an equation like the restocking that did not occur. Last year, we put into that our new products growth in our different platforms. And so I would say that, yes, we've contemplated any modulation and new construction that would occur in 2021.
Adam Baumgarten: Okay. Got you. And then just switching gears and TCM to input costs, I mean, how should we think about the relationship between sort of the more publicized spot prices for raw materials like MDI, and how it sort of translates to your buyers? And maybe what kind of visibility you have and sort of maybe some of the changes you've made, and how you buy MDI over the last couple years?
Chris Koch: Well, the way I think about it is a little bit more, well, more stability, let's say a little bit, but more stability, more certainty and ability to extend the timeframe on those modulations and pricing that may occur on the spot market on a day to day or week to week or month to month basis. We are a very big consumer of these products we have over the last couple of years. Our team at CCM along with our legal team and our central lead sourcing team have done a great job of going back and leveraging our volumes as well as our long-term relationships and the prospects for new products to put ourselves we think in a better position to have a long-term view as well as setting our pricing parameters around that 90 day target where we have stability through the quarter. And we're as you know -- we're very familiar with what can happen in the spot market. When you reflect back to when we bought a sell, I think we closed and it wasn't a month or two later that forced matures were declared. And while our CCM business and I think this is actually a good comparison, our CCM business, whether those force was yours and didn't see a spike due to the purchasing strategies and contracts we had in place, the SL business got absolutely hammered by that spot price. And I think that's a great example of the difference between how we're buying and the spot price market. Obviously, since then, a sell is now on our type of contract. But I think that's a good example of how CCMs, purchasing strategies, and purchasing and sourcing actions really mitigate a lot of that up and down and fluctuation. That doesn't mean that we're not going to see changes in raw material pricing when they occur, it's just going to be I think, more modulated and we're going to have better control more stability and see it in advance.
Adam Baumgarten: Great. Thanks a lot.
Chris Koch: You bet.
Adam Baumgarten: Thanks a lot.
Operator: Thank you, sir. We do have another question from the line of Kevin Hocevar from Northcoast Research. Your line is open. You can ask your question.
Kevin Hocevar: Thanks. Good afternoon, everybody.
Chris Koch: Hey, Kevin.
Kevin Hocevar: Quick one on the tax rate, you're guiding to 25%, it looks like the last three years, it's been basically right around 20%. So wondering why you expect such a big step up in the tax rate this year?
Chris Koch: Yes, Adam, Kevin, first of all, it's discrete items, right? That's driving our tax rate down in a couple of years, different items coming through and tax planning things that have been done to drive the rate down. The reason it's up in 2021. A couple things going on, you got to remember are a lot of a lot of our international businesses where you might have a lower tax rate relate to the CIT businesses that shrinking and essentially unprofitable now. So, if you just think about most of the profits generated in the US, the US has a 20% 21%, statutory federal rate, you got 3% to 4% of state and local taxes. There's how you got to 25 and that's kind of where most our profit is right now. And we're always going to do our best to bring that down, but based on the visibility we have and what's going on in the world, we think 25 is a good starting point.
Kevin Hocevar: Yes. Okay, makes sense. And then you got a great color in terms of the expectations for sales growth in 2021. Wondering if you could help not just a little bit on margins to either that the type of incremental margins you're expecting out of the different segments or because it looks like you should see nice, your sales growth and three of the four segments. There's some inflation, though you kind of address that expecting kind of neutral ish and CCM. But, whatever color, if you could help us on the margin front how to think of that in the business, that'd be helpful?
Chris Koch: Yes. Kevin, I don't think anything on the incremental. We talked about our incremental margins on volume upside for a long time, if price costs were guiding flat increment margins are going to be based on the volume and then the same thing for CFT and CBF, we're looking at volume upside, and then CIT it's its way down even lower than it was on breakeven. So expect that to be a tough year for CIT.
Kevin Hocevar: Okay. All right. Thank you very much.
Operator: Thank you. We do have another question from the line of Garik Shmois from Loop Capital. Your line is open. You may ask your question please.
Garik Shmois: Hi, this is Jeff Stevenson. I'm for Gary, thanks for taking my questions. My first one is just on what you're seeing from a backlog and bidding perspective in CCM and which end markets are performing well are expected to perform well this year?
Chris Koch: Yes, I think we laid out some of the markets that we think are going to perform well, when we laid out that idea of more suburbanization, if I can call it that. And I think we'll continue to see that I think the Biden administration in their talks about infrastructure. And obviously, we saw that from the previous administration to the America First, I think there's some ideas that we'll see more infrastructure projects. So when we look to your other question, I'll turn that to Bob.
Bob Roche: On where it's coming from. This is the other question, sorry.
Chris Koch: Jeff, what was your first question for Bob again?
Garik Shmois: I'm sorry, it was just some backlogs and bidding, right?
Bob Roche: Yes. Yes. All right. I'll just take it. Sorry about the confusion. On backlogs the quoting process is interesting, especially as we get into the first quarter. We've always had I think a pretty strong despite what we read in the newspapers, a pretty strong backlog there. It is held relatively consistent through the year dipping a little bit from our traditional levels coming back, and so we come into the fourth quarter. Obviously, there's the weather has an impact, but I would say quoting is good, but we also have a big backlog. And so in the reroofing side, as we talked about 70% of our business there, I think it's ongoing and really doesn't slow down because obviously, with the backlog there in the labor situations, as you know you're just trying to get someone to give you a quote. On the new construction side, yes, it has a little bit of a decline there. And I think people are cautious, and they want to see what's going to happen with the COVID restrictions that have been placed on them, as well as things like rents and in business prosperity, and whether people will continue to expand. But for the most part, we're still seeing strong activity tight labor markets across the across the construction base. And then when we see things like the weather happen, or other things that differ that reroofing, it just adds to the backlog and obviously makes it a good situation for us.
Garik Shmois: Okay. That's great. And then just wanted an update on kind of balance sheet priorities now. And then with the M&A pipeline, just kind of what you're seeing how helpful is it, and any updates on other priorities? I know, you mentioned some on CCM side, but any update there would be great?
Chris Koch: Yes, balance sheet priorities are always first CapEx and we have some big projects coming in 2021 going up to over $150 million of projects we see coming in most of those being in CCM. So we're pretty happy about that continue to fund our R&D, increase our dividend which we've been doing all along, we would expect to do that again this year for the 45th year. And then finally, we want to have a nice balance between M&A and share repurchases. Synergistic M&A being our priority out of those two. I think the pipeline clearly weakened with 2020 going on and COVID and the disruption we saw, but the pipeline starting to grow again, we see opportunities out there. We're working every day to try make sure we get some good synergistic opportunities. We looked at a lot in 2020 just didn't get a lot closed. So, we're going to continue to be balanced between the two.
Garik Shmois: Thanks. And best of luck moving forward.
Operator: Thank you. We do have another question from the lineup of Joel Tiss from BMO. Your line is open.
Joel Tiss: Hey, guys, I was jumping in on your acquisition commentary. Can any of the deals get through the much tighter goalposts you guys have set up in terms of returns and all that? Or is private equity still pushing the price a little too hard?
Chris Koch: No, Joel, I think it depends on you know, the segment, I mean, we're still seeing some good opportunities in construction materials. I think maybe even aerospace, we could find a deal, you might find some -- some good deals there in the aerospace business. So we'd still be interested in expanding our content for clients. So we see this down market as an opportunity to perhaps pick up some assets there that ultimately would have some pretty high return for our profiles, and we get them in into the, CIT business and let the team go to work there. I think when you look at things like med tech. Obviously, you have to be a little bit more discriminating. And they have to make sure they're good fits, and we can leverage, you know, infrastructure that we put in place with Providien and that, but I think we could find deals to do for sure.
Joel Tiss: And bigger versus smaller or the valuation, is there enough of a difference? Like maybe if you go a little bit bigger? Can you find things that are a little cheaper, or not necessarily?
Chris Koch: Well, the last deal we saw that was close to our construction materials business had a pretty good multiple on it. So I don't know that size to -- make a difference as just what the asset is, and what the prospects are for the business and the management team and what they've done. So, I tried to give you an answer like that, but I think it just depends, I would say our preference would be for things that were a little bit bigger. We think they bring perhaps more market presence. They integrate better, we could pick up some management talent and things like that. And hopefully, they have some innovative products and maybe some access to Europe or things like that. So there are some definite specific things we're looking for that we think we can leverage, and we'd be willing to pay for.
Joel Tiss: Okay. My last one is just -- you mentioned a bunch of new kind of, niches you're going after, or end market extensions, and you're nice enough to give us the size of the architectural metal business, can you give us any sort of a framework on how big some of these polyurethane, and some of these other initiatives you have are is or they're not really distinctive opportunities that you can break out, it's more just like, additive to what you're already doing?
Chris Koch: We can break out some of the products, I mean, we can and maybe not on this call, but maybe it's better for a longer conversation around things like new products, we know that IntelliSpray just from the equipment perspective, we think that globally might be $150 million market. We know it's dominated for the most part by one player. We think we offer an alternative there. So, that's a in one product line a 10s of millions of dollar opportunity over a five to seven year time horizon, when we look at what IntelliSpray does for our polyurethane spray foam, that business is more the spray foam business is more than the $100 market. And we think you know that a Carlisle has a very strong market position and can build on that certainly with the combination with equipment can do better. Metals has opportunities that are, architectural metals, insulated panels is an interesting one. There's some other architectural things that you can do on a building that are new from screens and things like that. And we think those are tens of millions of dollar opportunities. The three new locations we put in have had significant market sizes attached to them, again, definitely above $10 million, $20 million there each so. But we'll -- we'll we could follow-up with you. And maybe even on the next call, try to characterize some of those -- 
Bob Roche : Europe's a massive opportunity, $10 billion. So with the roofing space,
Joel Tiss: And is that for your kind of roofing, or is that the total roofing? That was my last little clarification question?
Chris Koch: Yes. No, it's not all single -- it's not all single ply roofing membranes like we traditionally have here. Joel. Our product line actually in Europe is this resorts its product which is growing at double digits and is a combination of bitumen with EPDM and it's it has a really unique function to it. So that's the roofing space, maybe our total available market and we look at things like sealants and adhesives. We look at our fasteners, we look at edge metals, we look at metal roofing, things like that. So this whole move that CCM made over the last, 5 to 10 years to become, you know more in the building envelope. That's what that opportunity really represents. It's a much bigger opportunity set than just a single ply roofing membrane solution like we would have had back in the 80s.
Joel Tiss: Okay. Well, thank you very much. I don't want to take up all the time. Thank you.
Chris Koch: You bet. Joe. Thank you.
Operator: Thank you. So we do have another question from the lineup Mr. David MacGregor from Longbow Research. Your line is open. You may ask your question.
David MacGregor: Yes. Good afternoon, everybody. Just to build on this most recent conversation around M&A, I guess, what is your best guess on the level of acquisition activity you'll need to complete to achieve your vision 2025 goals?
Chris Koch: I think we contemplated in vision 2025, somewhere $2 billion to $3 billion of acquisitions. I think that's good. We put out the $8 billion of sales. And Bob and I even at the time, thought we could do more than that, from a growth perspective. With acquisition, we still feel that way. There's more opportunities that continue to present themselves, I think the bigger focus for us to complete our vision 2025 goal is really to hit that $15 of VPS. And I'm not sure we need to do the same level of acquisitions to get to the $15 VPS. In fact, I think our preference would be to drive our internal organic projects and fund capital expenditures to get that because we know those, as we've seen with CCM over the years, when you do it internally, and you do it organically, and you build that infrastructure, your ROIC gets to those CCM levels of 30%. So I know that maybe confused. But our primary goal and vision 2025 was to $15 a share. And I think, you know, we could probably do less on the maybe the lower end of our original acquisition framework to get there.
Bob Roche: And we're always focused on returns. So yes, if we can get the returns on the acquisitions, we're going to do them.
David MacGregor: That makes sense. And then I guess, Chris, I wanted to just circle back and ask you pretty much the same question I asked you last quarter. And that was the extent to which you thought business had been pushed out from 2020 to 2021. And if there was any way to kind of size that and at the time, you thought it might be anywhere from 200 million to 300 million, but I thought I'd circle back and just get maybe an update in terms of your thinking on just how much business got pushed forward and how that might contribute to growth in 2021?
Chris Koch: Yes. I think it's going to be a good -- on the reroofing, I think it's a good story that we still see tight labor markets. We still see a strong demand in the reroofing. Obviously, the inventory build out that didn't occur last year, we characterize that, and that number I gave you, and now we have a year of heightened COVID restrictions. And I'm not even sure any of us really understand how much was delayed because of the protocols in the second quarter and third quarter that a lot of our roofing contractors had to deal with, I know, I'd been out to some job sites where there were, hand sanitizing stations, and social distancing, and masks and which a lot of more worrying anyway, but -- you wonder how much that took out of the productivity of a roofer? And so, I think you just have to think it's got to be something, north of 20% decrease in productivity. And so I think he can figure that it's that that is added to the backlog. And again, as we said, earlier, too, there's just a limited supply of people that can do this, and the demand is there. And so what doesn't get done, you can't defer it you try to get by, but ultimately, you have to do it. I know, here and in Phoenix, the ability to get projects done or even quoted is it's I've never seen anything like it before. I mean, it's just really hard to get a contract or even quote something. So I think it's, as we said, it depends on where you're in the region, it depends on, obviously, in the northern regions, there's more weather and there's less work being done so. It's probably the best they -- 
David MacGregor: Yes. I guess it's kind of hard to put in the spot for a number. So maybe the way to ask the question is just, are you feeling like that number might be a little bit bigger than what I asked you a quarter ago or just, I guess, directionally how are you thinking about it?
Chris Koch: Yes. Definitely. And I think it's just supported by we keep referring to some of the graphs, we've shown on reroofing and, and we know the projects that are coming do we referenced the buildings that are 10 to 20 years old, we saw that build out, we got that on the front end, as did our competitors as we built up, and expanded and now these roofs are, coming down and they need to be replaced. And so I would say anything that slows that down, whether it was COVID, or it's whether it adds to the backlog simply because of the constraint on labor. We're just -- can't get through.
Bob Roche: And simple way to look at it right CCM sales were down 7% for the year in 2020 and every roofing demand based on everything you know should have grown 3%.
David MacGregor: Got it. Thanks very much. Good luck.
Chris Koch: You bet. Thank you.
Operator: Thank you, sir. There are no further questions from the line presenters. You may continue please.
Chris Koch: Thanks, Annie. This concludes our fourth quarter 2020 earnings call. I want to thank everybody for your participation, great questions. We appreciate you taking the time. Stay healthy and we look forward to speaking with you at our next earnings call.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you for participating.